Operator: Good morning and thank you for joining us for Marine Products Corporation's Fourth Quarter 2020 Financial Earnings Conference Call.  Today's call will be hosted by Rick Hubbell, President and CEO; and Ben Palmer, Chief Financial Officer. Also present is Jim Landers, Vice President of Corporate Services. [Operator Instructions] I would like to advise everyone that this conference call is being recorded.  Jim will get us started by reading the forward-looking disclaimer.
Jim Landers: Thank you, and good morning. Before we get started today, I would like to remind everyone that some of the statements that we'll make on this call may be forward-looking in nature and reflect a number of known and unknown risks. I'd like to refer you to our press release issued today, our 2019 10-K and other SEC filings that outline those risks. All of these are available on our website at marineproductscorp.com. If you do not receive a copy of our press release, please visit our website, again, at marineproductscorp.com for a copy. We will make a few comments about the quarter, and then we will be available for your questions. Now I'll turn the call over to our President and CEO, Rick Hubbell.
Rick Hubbell: Jim, thank you. We issued our earnings press release for the fourth quarter of 2020 this morning. Ben Palmer, our CFO, will discuss the financial results in more detail in a moment. Before we start, though, I'd like to thank our employees for working through this incredibly challenging year of 2020. And through their efforts, our company thrive during 2020 and is positioned to continue its success in the coming year. We appreciate your dedication. Now for a few highlights on the quarter. Marine Products Corporation's Fourth quarter 2020 results represented our continuing response to our dealers and customers' renewed interest in recreational boating, which began during the second quarter of 2020. We operated at a higher fourth quarter production rate than usual as we work to fulfill dealers' orders in preparation for, what we believe, will be a strong 2021 retail selling season. We are starting the year with continued low dealer inventory levels and historically high order backlogs. We continue to hold leading market share in all of our product categories, but today, I am pleased to report that our Robalo outboard sport fishing boats held the #1 market share in their category, up from a number -- from #2 a quarter ago. We announced this morning that our Board of Directors yesterday declared a regular quarterly cash dividend of $0.10 per share, representing a 25% increase compared to the prior quarter. With that overview, I will turn it over to our CFO, Ben Palmer.
Ben Palmer: Thank you, Rick. Net sales for the fourth quarter of 2020 were $71.1 million, a 47.6% increase compared to the fourth quarter of last year. Unit sales increased by 27.8% during the quarter and average selling prices increased by 14.1% due to the popularity of some of our larger models at both Chaparral and Robalo. Gross profit in the fourth quarter was $17.4 million, an increase of 65.7% compared to the fourth quarter of 2019. The gross margin during the quarter was 24.5% compared to 21.8% in the fourth quarter of last year. Gross margin as a percentage of net sales increased due to the efficiency benefits of higher production, a favorable model mix, consisting of larger boats and lower incentives due to the impact of strong product demand. Selling, general and administrative expenses were $8.3 million in the fourth quarter of 2020, an increase of $2 million compared with $6.3 million in the fourth quarter of last year. These expenses were higher due to costs, which increased with sales and profitability, such as sales commissions and incentive compensation. Also contributing to the increase in selling, general and administrative expenses was a noncash pension settlement loss of $650,000, resulting from lump sum payments from the defined benefit pension plan. These payments from planned assets were part of an effort to reduce ongoing planned costs. For the quarter ended December 31, 2020, we reported net income of $7 million, an increase of 97.5% compared to net income of $3.5 million in the fourth quarter of 2019. The diluted earnings per share were $0.21 in the fourth quarter of this year compared to $0.10 in the prior year. Our effective tax rate during the fourth quarter of 2020 was 23.1% compared to 17% in the prior year. The variance in the tax rate was due to slight changes in year-over-year tax effective rate attributes. And for 2021, we expect a full year effective tax rate of approximately 19%. Our international sales accounted for 4.8% of total sales during the quarter, an increase of 82% compared to the fourth quarter of the prior year. Our international sales improved in many international markets, including Australia and the Middle East. Our cash balance at the end of the fourth quarter was $31.6 million, an increase of $11.8 million compared to $19.8 million at the end of the fourth quarter of 2019, reflecting strong cash flows in the business. As Rick mentioned, dealer inventory levels remain historically low and order backlogs continue to be very high.  With that, I'll turn it back over to Rick for a few closing remarks.
Rick Hubbell: Thanks, Ben. 2021 is starting well at the Marine Products Corporation. As many consumers continue to view recreational boating as a leisure activity of choice because it takes place close to home in an outdoor setting and within a small group. Several weeks ago, our industry reported that retail powerboat sales exceeded pre-financial crisis levels for the first time. We have every reason to believe that our industry is experiencing a favorable secular transformation. The offsets to this strong demand environment include the fact at the 2021 boat shows have been canceled. Along with our dealers, we are conducting as much virtual marketing as possible. And as you might imagine, consumers are increasingly comfortable making important purchase decisions in this manner. And along with other industries experiencing high demand, we are closely monitoring our employees well-being, labor constraints and potential supply chain logjams as we work to serve our dealers and customers in this environment. We continue to prioritize product quality as we consider production increases. We are excited about the coming year. And once again, we are very pleased about all of our products, strong market share and especially robotizing to #1 in its category. I'd like to thank you for joining us this morning, and we'll be happy to take any questions you may have.
Operator: [Operator Instructions] Your first question comes from Eric Wold of B. Riley Securities.
Eric Wold: Congrats on a strong quarter. I guess, first question, you noted, obviously, that your our inventories are historically low levels and order backlog remains high. Any sense you can give us in terms of how much of your production right now is geared towards already purchased boats versus putting stock inventory back into the channel?
Ben Palmer: This is Ben. I don't want to give a specific percentage, but it is significant. It's just -- it's obviously unprecedented and that's clearly what's driving. We have prioritized production based on sold boats with our dealers to a large extent. So trying to meet that in consumer demand, but it is very significant.
Eric Wold: Understood. You noted a favorable model mix and a shift to larger boats. Was it abnormal from what you've normally seen in an indication that consumers are kind of buying what they can get their hands or kind of what purchasing behavior have you seen or heard from your dealers in terms of where buyers are gravitating given the tight inventory? And how this is affecting the purchase behavior?
Jim Landers: Eric, this is Jim. So the answer to your first question, I prefer not to characterize it as buying whatever you can get your hands on. Let's just say that consumers are very eager to get into boating and where they may have wanted a red one, they'll take a blue one. But in general, they are still choosy, and they're looking for quality, and that's where we try to play and where we try to be. It is hard -- it's hard for us personally to say whether our shift to larger boats is a -- is a secular consumer change or just kind of where we are in the kind of products we're making. We're emphasizing those because we see demand there. And that's kind of all I could say without being too speculative. We are noticing that with outboard books growing, you're seeing bigger outboard boats with, frankly, just more engines on the back. I think that's easier to do. So I think that's a possibility as well. But that's kind of our best look at it.
Ben Palmer: And then I would also add that, to some extent, again, working with our dealers very closely with their orders, again, many of which have already been presold, we are trying to allocate and prioritize somewhat to the larger models as well. So that in a particular period, that can have some impact as well.
Eric Wold: Perfect. And then just final question on the supply chain pressures, I guess, what is your best guess on how long these could persist? And any sense of how much more production or margin headwind these may be creating versus what you could be doing?
Ben Palmer: It's a very reasonable question. We have experience some slight interruption here and there thus far. Clearly, we're hearing from our suppliers and the industry overall that at it's certainly a risk, and it's something that everybody is going to manage through. Just like us, our suppliers are trying to gear up and trying to address the various challenges they have to meet the demands of their customers. It's a reasonable question. We don't know. We'll just have to take it day-to-day, partnering with the supply chain and do the best we can. We, at this point in time, are hopeful that they will -- that we can maintain our quality, maintain our production levels that we have in place today. And we'll just have to manage through it and do the best we can, working with our suppliers to keep things moving along. But very -- as I'm sure you can imagine, it's very difficult to quantify, but we're hopeful that we'll be able to manage through with hopefully minimal disruption.
Eric Wold: And I apologize [indiscernible] last kind of addition to that, where are the main supply chain issues right now? Is there certain 1 or 2 main parts or areas that you're seeing this?
Jim Landers: Eric, we're fine on the engines right now, but we're watching engines very closely. That's a potential constraint. And then there are a few components that have a limited number of manufacturers. Maybe the best example is both windshields. So that's something we're watching as well.
Operator: [Operator Instructions] The next question comes from Fred Whiteman of Wolfe Research.
Fred Whiteman: You had mentioned that you were expecting a strong retail season for 2021, which makes sense. But I'm wondering if you could just build out on that a little bit either at a company or at an industry level? Is there a chance that you think the industry grows this year just given how strong 2020 was? Or are we talking about sort of flat to slight declines? Any color there would be helpful.
Jim Landers: Fred, this is Jim. So year-over-year, if you want to compare 2021 to 2020, we're conservative people, but I'd be willing to think about that the industry will really grow in 2021, especially when you consider that of 2020, most manufacturers, including us, were shut down for a good part of second quarter. So we'll definitely see growth in 2021 over 2020, warring any just total systemic. Things that happen, coronavirus or something else getting worse. But yes, we definitely think 2021 is going to grow over 2020.
Fred Whiteman: On a retail basis, right? I assume that your comments for wholesale, you think retail will be up meaningfully as well, too?
Jim Landers: Yes.
Fred Whiteman: Okay. That makes sense. And you had also mentioned lower incentive a benefit on the gross margin line. Can you maybe talk about how you think the promotional environment will look as we move into next year and some of the dealer inventories start to refill? Should we expect some margin headwind is promo levels and incentives get a little bit higher? Or do you think that just given how tight everything is in the channel that we'll be talking about pretty favorable promo environment throughout next year as well, too?
Ben Palmer: I think with the strong demand that, as Jim indicated, will continue, I think it will continue to be a lower than normal incentive environment. But I would expect it, to your earlier point about retail sales, certainly, dealers being able to sell-out of inventory immediately in '20. There'll be some stabilization there. And I would expect that our incentives, we're going to work with our -- we'll work with the dealers. I'm sure as everybody will to try to meet their orders that have already been committed with a consumer, but also get them back to reasonable inventory levels. And I expect sometime in '21 or early '22, we'll be headed back toward more more normal perhaps, I think, still very strong, but more normal sort of flows of production and inventory levels. So I would expect those incentives to normalize a bit, but it still will be a favorable environment, I believe.
Fred Whiteman: Perfect. And then finally, maybe just a bit more detail on what you guys are seeing from some of the digital boat shows or digital efforts that you've done to replace the boat shows so far. It sounds like you're seeing good traction there, but if there's anything else you could add or give us some color on, that would be great.
Ben Palmer: Fred, not really. I just think we have a nice convergence of improvements in technology and customers increasing comfort with considering large purchases by looking at something virtually and getting closer to the finish line that they might have -- than they might have a couple of years ago. So we've got a good marketing department. That has come up with some good things. And we work closely with our dealers who are trying to do the same thing. They're doing virtual boat shows in their markets. And so it's working. I'd like to say as well as can be expected right now, and I think we're doing pretty well with it. In interest rating, we sort of kick it off. We kicked it off this year with doing a virtual dealer meeting, and that was sort of a nice intro to the process, and we're able to flex that a bit and test that out. And I think we're just continuing that effort through all the various mediums that we have on the Internet and so forth. So it's going well.
Operator: There are no further questions at this time. I will now turn the call to Jim for closing remarks.
Jim Landers: Thank you. Thanks for your questions. We enjoyed the discussion, and thanks to everybody who called in this morning to listen, and we hope everyone has a good day. Talk to you soon.
Operator: Ladies and gentlemen, this concludes today's call. Please be advised that the conference call will be replayed on marineproductscorp.com within 2 hours of the completion of the call.